Daniel Wolfe: Good morning, and welcome to 180 Degree Capital Corp.'s Third Quarter 2022 Financial Results Update Call. This is Daniel Wolfe, President and Portfolio Manager of 180 Degree Capital. Kevin Rendino, our Chief Executive Officer and Portfolio Manager, and I would like to welcome you to our call this morning. [Operator Instructions]
 I would like to remind participants that this call is being recorded and that we will be referring to a slide deck that we have posted on our Investor Relations website at ir.180degreecapital.com under Financial Results.
 Please turn to our safe harbor statement on Slide 2. This presentation may contain statements of a forward-looking nature related to future events. Statements contained in this presentation that are forward-looking statements are intended to be made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. These statements reflect the company's current beliefs and a number of important factors could cause actual results to differ materially from those expressed herein. Please see the company's filings with the Securities and Exchange Commission for a more detailed discussion of the risks and uncertainties associated with the company's business that could affect the company's actual results.
 Except as otherwise required by federal securities laws, 180 Degree Capital Corp. undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I would now like to turn the call over to Kevin. 
Kevin Rendino: Thanks, Daniel, and good morning, everyone. We'll start on Slide 3, where we note our NAV declined this quarter to $8.10 or 3% from Q2. Our cash and liquid securities increased in the quarter to $67.5 million or $6.50 per share, with the balance of our book value represented by our private holdings. Our public performance return was a negative 2.9%, led by declines in Potbelly, Comscore, Quantum and Commercial Vehicle Group. The largest increases in value from our public companies came from Arena Group and Alta Capital.
 On the private side, the main takeaways were down to 4 active companies left. That is a significant decline from the 24 we inherited 5 years ago. While this year has been difficult to say the least, the good news is we have completely transformed our business, made our balance sheet transparent and easy to value, and created a business that actually has a future and provides strategic options to create value that simply did not exist 5 years ago.
 On Slide 4, we show our book value on a quarterly basis. No need for me to tell you how difficult 2022 has been for microcap companies and that is reflected in our book value. The good news is 80% of our assets are now in our ongoing strategy. And given where some of our stock prices are for the companies we own, it is not hard to see a path for significant appreciation from here. That's not a prediction for the next 3 minutes, but rather one that incorporates a longer-term time horizon.
 So on Slide 5, you see our quarterly performance for every quarter since we started, year-to-date, the classic United States portfolio of 60% stock and 40% bonds is on pace for the worst year on record. And we aren't speaking about the last 5 years, I'm talking about 1907, 1931, 1937 and 2008. In many years -- in many ways, 2022 has resembled a 100-year flood.
 Back to the good news on Slide 6. This chart shows the incremental growth on the level of cash and public-related assets. The bar chart is the dollar amount reflected back to per share amounts. It's -- our share price trades at a significant discount just to our public-related assets. Daniel will show you our sum of the parts chart near the end of this presentation. And while it's difficult to find the good in 2022, the truth is we are in a far better position to succeed than we were 5 years ago when we had a bloated cost structure, a busted DC strategy, which resulted in years and years of decaying NAV.
 Despite the transformation of our balance sheet, our stock continues to trade at a significant discount to its book value. If today's price is the right price and the price investors were placing on our business, well, when it was on its way to 0, it was absolutely the wrong valuation. The discount that we had when I arrived is still the same discount today, which is disappointing to say the least, given our transformation. Either way, you've seen this management team dip into its pockets and buy stock in the open market with after-tax dollars. I suspect that won't change as long as the discount is this severe. And remember, it's far easier to do strategic things when our balance sheet gives you flexibility. We haven't had that up until now, we do today.
 Slide 6 shows our normal sources and changes in net assets. And as you can see, we had a slight increase in the value of our privates, which was offset by normal operating expenses and $0.19 of losses in our public portfolio. Year-to-date tells a similar picture, although obviously, the first half of the year put a big dent in our performance. What's interesting is the drumbeat of negativity and bearishness couldn't be any greater than it's been since mid-year. Recession talk, inflation chatter, rising rate to tough talking Fed and what's happened to our public holdings since June. They really have stopped going down. Much to do with our belief that many names are so washed out, so oversold and have greatly discounted the negative environment, which, by the way, as it relates to a recession may or may not happen, at least the one that everyone is talking about. As an aside, we think we're already in a recession, a different kind of a recession, but a recession nonetheless.
 Slide 10 shows you the success of our strategy over the long term. Needless to say we can look at the big picture and tell ourselves that the 180 shareholder has been properly served by our stock picking in the public markets. I'd encourage everyone to read our shareholder letter. We run a concentrated portfolio of stocks not correlated to the market. That is our intentional strategy. The world does not need another diversified small-cap value fund that runs with low standard deviation. If it does, that will never be us. And while we're disappointed with 2022, we aren't discovered to somehow we forgot how to invest.
 After all, it's investing. There are periods when you lose, when you're out of favor, when you don't get everything right, when you get things wrong. Remember, we have permanent capital. Nobody can tap on us the shoulder and say, "times up", nobody can redeem us, nobody can take our capital away. In this environment, that is a big aid and so helpful when we invest in companies trading at all-time lows or not having to sell when we don't have to sell.
 Slide 6 shows the performance of every stock we owned in its performance for the quarter, and Slides 12 through 14 give a snapshot of each and what's transpired through the quarter. To some extent, the fundamentals of most of our holdings do not mirror the dramatic decline in their share prices. For instance, Potbelly reported strong results and suggested optimism for the second half of the year, they announced 2 franchise deals. What happened, stock declined 20% in the quarter to a price that was 1/3 of the value from 5 years ago when it was a broken story with declining comps and a completely ineffective management team.
 That was just one example of a holding that executed its business fairly well whose stock price has been severely punished in the spare market. The one name we own where management truly miss manages business and which we've talked about was Quantum. Even then, this quarter was okay, reported okay numbers on the top line. EBITDA was fairly in line and certainly better than prior quarters, and yet the stock declined 24% this quarter.
 Comscore had a fine quarter, landed a new CEO. What happened stock down 20%. I think you get the picture. Only Arena Group and Alta Equipment were the only holdings that helped our performance this quarter. It's just been that kind of market.
 On the next set of slides, we offer our performance by a stock-by-stock basis. I wouldn't call it a pretty picture year-to-date for 2022, but I would call it a real good indication of our skill set, if you turn to Slide 16 and focus on our performance since our inception. My hope is the next few years look a lot more like this table rather than 2022. And if it does, this year will turn out to be a mirage, one that provided a great opportunity to buy a basket of microcap stock through share prices have 100% or more upside.
 On Slide 21, we show you our performance over every time frame. You've often heard me talk about the random walk of investing and needless to say, spend a lot of time thinking about it, maybe to irritate myself. But the random walk theory suggests that changes in stock prices have the same distribution or independent of each other. Therefore, it assumes that the past movement or trend of the stock price or markets cannot be used to predict its future movements.
 In short, random walk theory proclaims that stocks take a random and unpredictable path that makes all methods for predicting stock prices feudal in the long run. That's the one part I agree with is that most market participants think the future replicate exactly today. We've all seen this move even before.
 As I told you at the outset of the pandemic, in March of 2020, that the market and 180 Degree Capital, which show 5 straight quarters of growth that would have felt like a crazy statement at the time, but that's what happens. For those experts that know exactly where the market is going to do over the next year, my guess is they spend most of their time annualizing the current environment that we're living in, but you know that markets change, economics change. And at the end of the day, stock prices are a discounting measure. The random walk theory infers that the past movement of or trend of the stock price and market cannot be used to predict its future movement. I agree with that, and it plays into our strength of being contrarian and ensuring that the price we pay for the business that we buy overly discounts the worst possible environment.
 The random walk theory believes it's impossible to outperform the market without assuming additional risk. I don't even know what that means. I do know that this slide shows that it is possible to outperform the market and do so in a responsible way that doesn't incorporate massive risk taking. The random walk theory considers fundamental analysis undependable due to the often poor quality of information collected and its ability to be misinterpreted. This is the part I shake my head at the most. What do you think we do all day? The market is efficient today. Everyone understands the fundamentals of today, but nobody knows the fundamentals of tomorrow, buying a stock that offers limited risk if the current environment continues, while offering great upside if the environment changes is exactly what we do. Plus, we have the added tool of activism to have a better say in the outcome of the business.
 And finally, the random walk theory claims and investment advisers add little or no value to an investor's portfolio to which I laugh at. There are good advisers and there's bad advisers. There's good PMs and there's bad PMs. Go find the good ones. I'd like to think that our performance over a long-term time period have proven that our process if anything, has been a fun random walk.
 Slide 22, finally, is what I'm most proud of. Although you wouldn't know it from our share price or performance, we have turned a business that was well on its way to 0 to have a stable balance sheet, a business model that has the opportunity to create significant value for its shareholder base. There's been a lot of work from Daniel and others to rid this company the mess that was created in the prior 10 years and to give the shareholders a turn a chance to win.
 On the one hand, I think you know my personality by now. My mood revolves around how we're doing in our share price, and this has been a tough year. But one, our belief is that our share price has overly discounted itself unlike many of our -- just like many of our holdings, and 2, the amount of business transformation that has occurred have been critical in sending this company up for future success.
 With that, I'll turn it over to Daniel. 
Daniel Wolfe: Thanks, Kevin. Please turn to Slide 23. As Kevin mentioned, we've transformed our business over the last 5 years, a ways from the historical venture capital model and towards our public and public-related securities. The sale of our future milestone payments from the acquisition of Petra by Eli Lilly, the sale of TARA Biosystems of Valo Health and the public listing of D-Wave Systems under the symbol QBTS in '22 has supercharged that to our transformation.
 Following these monetizations and as you can see on this slide, 180 Degrees remaining private portfolio really only has one material position in that getting AgBiome. The sale of the TARA to Valo Health presented about $3 million worth of value that we hold on the balance sheet in terms of future payments from milestones and also contractual payments. And those contractual payments represent approximately $2.6 million due to 180 over the next 1.5 years. So we currently expect to receive approximately $275,000 in December, $1 million in April '23, and the remaining about $1.3 million in April '24.
 Additionally, while not as material as those amounts, we do expect to receive approximately $100,000 by the end of '22 from the partial liquidation of Magnolia Neurosciences. And there will be a small amount that comes in the first half of '23 once the company is fully liquidated. It just shows you that there's value on that list in there that's not just being fair value, but that's actually cash that we expect to come back to 180 over the next 1.5 years.
 With regard to remaining legacy private portfolio, as Kevin mentioned, it increased NAV by $0.02 per share, approximately $240,000, which includes the difference in value of D-Wave Systems from June 30 to the opening price of trading as under QBTS, inclusive of a discount for lack of marketability. The increase in value of D-Wave attributed to the legacy private portfolio portion is approximately $1.4 million or $0.13 a share. And that was offset by risk and -- by declines in the fair values of AgBiome, HALE, EchoPixel and the remaining future payments from the potential payments from the acquisition of BioVex by Amgen.
 Please turn to Slide 24. For Q3 '22, our regular operating expenses equaled approximately $927,000 versus approximately $805,000 a year ago -- in the year-ago quarter. The primary sources of difference relates to higher accrual for Audit fees, the timing of certain expenses related to tax preparation and public relations and marketing costs as well as the addition of Matt Epstein to our team.
 As indicated since the start of 180 in 2017, we have been consistent in saying that the management team will only participate in a bonus pool, if our performance warrants it. Our performance thus far in '22 doesn't warrant bonus pool. And thus, there are no performance-based bonuses accrued as of the end of this quarter.
 The final assessment of any bonus pool be made by our Board of Directors, compensation from our Board of Directors at the end of the year. Additionally, we'll be maintaining a lean cost structure outside of our fixed expenses for being a public company and focus our expenses on activities solely designed to enhance our investment performance or increase our revenue from managing outside capital.
 Please turn to Slide 25. Part of these additional expenses in '22 versus '21 relate to increased marketing efforts to bring 180 to the attention of potential investors as well as identifying third-party capital to manage. In addition to launching a new website earlier this year, we've been working with Peak Strategies to identify opportunities for interviews, articles and other outlets to speak about what we are doing in 180 Degree Capital Corp.
 This slide shows the list of articles, podcasts, quotes and other marketing efforts since we started this process in March '22. You can find links to all of these on our website under the insights tab. We will continue to seek out similar types of opportunities in our effort to bring attention and investors to 180.
 Please turn to Slides 26 and 27. We provide these slides each quarter that enable our shareholders to look at the trend of our total expenses and compensation related to as a percentage of net assets. We continue to anticipate the reductions in our operating expenses as a percentage of net assets will be based on growth in our net assets rather than further reductions in our expenses. We remain committed to treating every dollar of shareholder money with the utmost caring consideration. As we continue to say and we will always say is much easier for us to grow NAV where the expense or where the rate is today rather than historically.
 Please turn to Slide 28. Here, we present our scorecard through Q3 of '22 based on certain metrics that we track throughout the year. While the first 3 quarters of '22 were difficult, we believe we are well positioned to grow value for our shareholders across all of these metrics over time as we had done during the prior 5 years of 180's existence.
 Please turn to Slide 29. And this gets through some of the parts that Kevin mentioned earlier. As of the end of the quarter, TURN traded at 68% of NAV. Our securities and public and related companies, cash and other assets net of liabilities were about $6.42 per share. Our stock price was $5.49. If we receive 100% credit, the value of these assets, net of liabilities, the market is describing a negative value of approximately $0.93 per share or $9.6 million to our private portfolio that is negative $9.63 million or $9.6 million. Put it another way, we would have to pay someone $9.6 million to take our private portfolio holdings off our balance sheet. And I already told you earlier that we're over -- about close to $3 million of that is cash coming to us over the next 1.5 years.
 At the end of the day, legacy private portfolio under the AgBiome is currently irrelevant to our future success. Given how painful the market has been in '22, we think the current construct of our balance sheet has provided a true flavor to our stock price. While none of '22 has been fun, had 2017 to '21 not occurred, our share price -- we believe our share price would be nowhere where it is trading today.
 Again, we certainly do not believe that our share price reflects the appropriate value of 180, as you've seen us do in prior quarters in similar situations, management looks forward to adding to their ownership of 180 in open windows for such purchases.
 I'll now turn it back to Kevin for any other comments before we open for questions. 
Kevin Rendino: Yes. I think we can just open it up for questions. I do want folks to understand that what Daniel said is true. We've gone through the exercise of trying to monetize our private portfolio in ways that we haven't been able to share with the public because they're over-the-wall, transactions to be over the wall to understand what we're doing, and MPI stuff. We've gone through secondary markets. We've had individuals, look at certain individual holdings, look at the whole portfolio. But never in our wildest imagination, would I think that if we called up a secondary folk who spend their time transacting in portfolios like this.
 The fact of the matter is we would literally hand the portfolio over to someone and offer to pay them $10 million to take it. That's what our share price represents as it relates to our book value. And I'm sorry, but that doesn't make any sense to me. So I am glad we're up for Q&A. 
Operator: [Operator Instructions] Our first question comes from Adam Waldo. 
Adam Waldo: 3 areas I'd like to explore with you today. The first being the situation with AgBiome, second being your comments around SCOR. And then thirdly, I want to talk for few minutes about the third-party capital raising environment and the addition of Matt Epstein to the team.
 So with respect to AgBiome, obviously, just the market at the end of the quarter is just under 15% of total net assets, and Kevin, you made a comment about third-party options for potentially monetizing remaining private portfolio. Obviously, that's basically AgBiome. So Tenneco is a big shareholder there to our Price Ventures, Fidelity Ventures and so on. Can you comment on whether you had any conversations about potentially selling that position to one of those large institutional holders, venture sides and redeploying the proceeds in new public market strategy? 
Daniel Wolfe: So Adam, thanks for the question. I think what we can do is speak generally, right? We speak to all of the investors of all of our private portfolio of companies. Kevin mentioned, there's always lots of things that we're trying to do in the background that we can't go into detail on. And so I think you can assume that we have spoken with or work to speak with anyone and everyone that we think might have an interest to purchase our private portfolio companies. It's a difficult exercise with those entities because venture capital firms are not designed to buy interest from other investors. They're designed to put money into directly those companies. And so even when you look historically, you can even public -- look at the historical transactions and any information that's out there. Any time there's usually secondary transactions where certain investors are selling their position. It's usually not those venture capital investors buying because that's just not what they do. 
Kevin Rendino: The way it goes is, if somebody wants to back AgBiome, they know where we live. If they offer us $1 million, we go tell them the pound salt. And if they offer us something that we can take this fair value, then we'll have a conversation. We have no interest in selling something at a price that makes no sense, and we don't have to. 
Adam Waldo: Absolutely. Fair enough. Okay. Oh, I'm sorry. 
Kevin Rendino: Yes. You can keep going. What was the second part? Comscore? 
Adam Waldo: Yes, around Comscore, obviously, you guys have been publicly active there after having a series of private conversations with the Board.  Jon Carpenter has been named the CEO. They bought -- Cerberus has bought some stock in the open market. Obviously, yesterday, the contract renegotiation with Charter was announced. Overall, what's your sense in terms of how the Board is progressing with addressing a number of the governance issues that you highlighted in your public letters? And how are you thinking about your acquisition going forward? 
Kevin Rendino: So this is emblematic of the market. Sometimes you get things wrong, and you can fundamentally blame yourself for picking the wrong stock because you got the fundamentals wrong. Quantum is an example of that. It's all on us. We blew it. They blew it. And the stock deserves to be down. We were very disappointed in the Comscore Board, and how they're conducting themselves earlier in the year to the point where we wrote our 2 letters. Since that time, what have they done? They have a new CEO, one, who is focused on profitable growth, one who is remaking the management team. One who has very little interest in pontificating about the industry, but rather one that's interested in having double digit, I should say, 15% to 20% EBITDA margins. They're at 10% today, higher than 10% actually or close to 10%.
 Cerberus, we told them that you were not acting in the best interest of common shareholders, only yourselves. Cerberus went into the open market bought $1 million worth of stock for $2, I think, $0.24, something like that. They -- not only did they replace the CEO, but they replaced the Chairman of the Board with a gentleman from Cerberus, appointed Cerberus Board member who used to run McGraw-Hill. We ran a number of conversations with him. And he is an effective Chairman of the Board and a breath of fresh air compared to what we were listening to before.
 They -- we asked them specifically about that Charter deal. And basically wanted answers as it related to what kind of data were they actually getting from Charter. Was Charter just a board member so they can sell Comscore data or was Charter giving Comscore differentiated data, proprietary data. And we ask them to perhaps provide some relief for those data costs, which is impacting Comscore's ability to invest in itself. You saw yesterday that release for 2022 and 2023. While Comscore is not going to renegotiate the price, but that would probably look, make every other customer that buys data from Charter come back to them and trying to renegotiate what they did was extend the deal from 7 to 10 years with no price increase.
 So they've been doing all the things that we wanted them to do since we put all of our thoughts into those 2 letters. And so it's hard for us to meet a pound on them when they're doing what we've asked. And all that being said, when we started writing those letters, the stock was around $2.50. It went to $1.02 on Friday, literally $1.02. And so that's the definition of a bear market. No matter what this company is doing to effectively run itself better than at any time that it has in the last 4 or 5 years, nobody cares. And so that's the frustration with '22 is that even when companies are doing the right things, they're not getting rewarded. But forget about not getting rewarded, the stock got punished.
 I mean when Comscore was $2.50, it was trading at 1/4 of the value of Nielsen, which sold itself, as you know, at 4x revenue. Comscore is trading at 1x revenue with 10% EBITDA margins. So it's not like the stock started this decline at some sort of lofty valuation, which made no sense. It was literally trading at a quarter value of the company that has completely failed the industry that other companies are taking market share for.
 So anyway, that's my long-winded version of Comscore. They report tonight. We'll meet with them tomorrow, and we'll assess the quarter, and we'll listen to what they have to say, but that's been emblematic of 2022. Even when you really haven't been wrong, you've been wrong. So one thing to be wrong and get punished, it's another thing to be right and be wrong. So that's Comscore.
 And what was third-party capital on that. There's nothing to add on third-party capital, Adam, I know you ask every quarter, and I appreciate that. We have a new account that we set up earlier, in the middle of the year. We have another one that we're working on today. I wouldn't call it a $100 million company, any stretch of imagination, but it's somebody that wanted us to manage money. Quite frankly, some of the capital that we have, there was a redemption this past quarter, mostly to do with rebalancing as most pension accounts are doing from equities into bonds because rates are up.
 When that happens, we have to sell, when we sell that is impacting the holdings of 180 Degree Capital, and that gets back, Adam, to our point in prior calls where only when the economics makes sense will we take on the capital because the nuisance of giving our money back to people when they want it, is impacting permanent capital. And I think you can understand that we adore our permanent capital. But when you're managing other people's money and you don't have gates up and they want their money back, you're impacting in turn potentially in a negative way. So -- and then we did hire Matt Epstein, came from Evermore, which is a very well-respected asset management company actually nearby of knowing a bunch of folks over there for many, many years. Matt is an NYU Columbia Grad, so he's well versed in Graham and Dodd. He's come with an energy and a focus and a real intellectual curiosity that is serving us well so far at his early days. 
Adam Waldo: Just quickly on Matt, how that impacts the idea generation going forward? If you can just quickly comment on that. 
Kevin Rendino: Well, if it doesn't get better, I don't know why it's here. So it should enhance it, it should increase it. That's why we've brought him on board. We didn't bring him on board because if we wanted some 22-year-old to do models for us, I could have hired a grad. We hired him because he's had years of experience in the industry. Look, I'm I want people to pass or fail based on their own recommendations. That's our game, Adam, as you know. You either -- I've gone home every day of my career and either won or lost. And while that wears on you over time, especially this year, this is the business that we've chosen to be in because we like keeping score. Well not like keeping score too. So the hope is that it will enhance the idea generations of flow. And hopefully, there'll be more quantity, but most important there will be better quality. 
Operator: Our next question, [ Stefan. ] 
Unknown Analyst: I wanted to ask a little bit about Quantum. I know you guys have been saying that it's been disappointing for numerous quarters now, and you've had issues with trust and management, but you're increasing your holdings like every slide I see. And I'm assuming there's something as far as like a -- as far as you guys thinking about activism in net holdings, is there anything you can publicly disclose? 
Kevin Rendino: Well, the main thing that we did this year is increase our holdings vis-a-vis the rights offering. Anything else that we've done is negligible. So -- and we did so with the notion that it is our expectation that this business will be cleaned up vis-a-vis they will increase their EBITDA margins. They will seize to have supply chain issues with the one product, they basically get from IBM. They haven't told us that, but we think it's from IBM. That is important for their take products. And they will sell this company and then this nonsense. And that is our expectation of the Board that this is a cleanup and a sale. They don't want to sell anything today. And you're in the middle of a supply chain depression with regards to the whole semiconductor storage industry. And so selling today is completely an useless exercise. You can't get anybody's attention when your stock is at all-time lows.
 So I'd say the activism that we've done there has been done behind the scenes. We've written letters to the Board that we have not made public. But I would not think by any stretch of the imagination that we're not ready enable to become a little more active in our disappointment with almost everything that's gone on there in the last year, including parts of management, which we expect to be changed out.
 So again, you're going to get things wrong. We got it wrong. I thought the rights offering clearly was the bottom. It wasn't. I don't know why it wasn't the bottom. Nothing really has transpired to the negative from that point other than the market's been a mess. And this is not the kind of company maybe that you want to own in this market, and it's obviously traded down with the rest of the tech games.
 But that's where we are. I don't expect to own this company in a year, maybe 1.5 years. And I think this will be hopefully a dead and buried situation for us. What disappointment is it was one of our biggest winners, twice. We bought it at this price essentially a little higher when they were delisted in 2017. 
Daniel Wolfe: 2018, I think it was. 
Kevin Rendino: Went from 1 to 8, sold a bunch of it, half of it, went back to 2 or so in COVID, bought a bunch back then and sold a bunch when it ran again to 8 and we got caught this time. Anything else? 
Unknown Analyst: How do you feel about the -- I mean, the current environment with activities generally. I mean I'm sure, well, you talked about it, holdings are depressed across the board. It's probably value to extract somewhere across any which way of some of the holdings here. And do you feel like it's time for you guys to get more vocal or do you think it's more of a sit-and-wait thing as the market sorts itself out? Just curious on your thoughts. 
Kevin Rendino: Talking about Comscore, for example. Do I want them to sell the business? I do. Do I want them to sell the business now, I don't. I mean do I want Potbelly to sell itself? I do. Is today the right time to sell it? It's not. I mean, these are really -- for the most part, every company we own is well run, good people, good businesses, brands, franchises, whose stocks have been slaughtered. And so many of them I don't want to be public anymore, but we're not going to call on the board to sell the company when the stock of Comscore when the stocks at $1.20. I mean it was just at $2.50, like 2 months ago. And then I watched it go down like 27 out of 29 trading days, it was down. On no news.
 So I mean we talk to our companies all the time. I just don't know what to tell them right now because we just want them to run their businesses and get to the other side of this, have the shares appreciate and then be put in a position where they can make a better decision at a better time. And we will push them to do that. I just don't think the time for being vocally active, I mean I'm an intellectually honest person sir, so what I talk on because sell yourself for $1.50, I don't want that. I really don't. So -- and it's a stupid time. They're not going to be able to get anything done.
 So -- but we can push behind the scenes to get the kinds of activity, kind of announcements that we're getting out of Comscore, which are actually impactful to its business. And then we can deal with the whole enterprise at a time where we're not hiding under our desks on a day-to-day basis. Does that answer your question? 
Unknown Analyst: Yes. And as far as D-Wave is concerned, I guess the DeSPAC has kind of been underwhelming, at least the price wise. Any color or anything you can add to that? 
Kevin Rendino: Well, Dan, you want to add? Other than it's like not a company, it's a SPAC and it's trading like a SPAC. Like every other SPAC, it seems like that's come out here in the last 1.5 years. Daniel, I don't know if there's? 
Daniel Wolfe: Yes. Look, there's going to be price discovery that happens. They've got a -- it doesn't help when they come out on their first call and lower revenue guidance. And so I think the business, it's got a lot of promise I think that's what everybody looks at quantum computing in general. And they've got to show that they can deliver. And now they're a public company, they got to do that under the watchful eyes of all investors. And that will be what determines how the company progresses. I mean it's analogous to like a biotech. A lot of substantial promise and potential. And the question is, can they show that they're making progress to get to that point? 
Kevin Rendino: We've owned D-Wave since what year? 
Daniel Wolfe: 2006. 
Kevin Rendino: 2006. The company has been around since 1999, I believe. 
Daniel Wolfe: Yes. 
Kevin Rendino: It is an idea stock still, I mean, the technology they have there is off the charts. And whether it's gaining or kneeling, I don't know how familiar you are with the industry. They're in a position right now where they actually have a commercial business, albeit, it's not a $1 billion revenue business. But I have no idea. I mean, I didn't -- you know I'm a Graham and Dodd value guy. I just got you 5 years ago. Like I'm so tired of talking or looking at we can't even sell it. We're restricted. So whether it's  12, 1, 10, 5, 6, I mean, none of it makes any sense to me. In this environment, I don't think you really want to own idea stocks, but in a better environment, we may want to own idea stocks. So we're going to have to figure out what we want to do with this thing when the time comes, though we've restricted it and as you know, to some extent, unless the thing goes to 20 or 30, so I'm not saying it can't. This has been a gigantic waste of time and emblematic of the prior company that existed before 180. There wasn't just one D-Wave. There was like 15 D-Waves, and they all provided a gigantic headache to the shareholder.
 So I'm grateful that it's out, it's public. They do have interesting technology, and we'll see where -- what happens here over the next 2 to 3 years or 2 to 3 months or whatever. And by the way, if they're technology is as good as either they think it is or we think it is or the industry thinks it is, and then Google can just write a check for $1 billion and take them out or Amazon could or IBM could. If they believe that these guys have distinctive technology, not saying that's going to happen, but it's a possibility. 
Operator: There are no further questions in the queue. 
Kevin Rendino: Well, thanks, everyone. I've long made fun of folks that spend a lot of time talking about the long term because usually when investors are talking about the long term it means the short term has not been a pleasant experience. And we've spent a little bit of time talking about the long term. So we've been as transparent with you from day one through good times and bad times, and there clearly have been infinitely more good times than in years like 2022. But we'll use this environment to sit through the market and really try and find those companies that we think can have 100% returns. And they exist.
 As I mentioned earlier, if Comscore just gets back to where it was 2 months ago, it's a 100% of the tariff. And there's many like that. The good news for us is out of the $8.10 worth of book value, $6.50 are in our cash and public-related assets. When we first got here, if our book value was close to $6.50 or $7, there was only $2 a share in our new strategy, making it very difficult to grow our book value if the majority of it was either going to go sideways or down, which had ended up doing in the last 5 years.
 When we start this next leg of the cycle, and I don't know if we're in the end of this bear market or the middle of the bear market or whatever, but let's assume we are near the end, and we'd like to think we are because many of these stocks are trading at valuations they haven't been at ever. When we start this bear market cycle with $8.10 book value and $6.50 worth of cash and liquid securities, so it's very clear to me how if we get things right, how the path to create significant value from here exists. And we hope to look back on this period and 3 years and say thank God. We -- it was terrible to go through it, but thank God we have because of what we've done as a result. And we will circle back in 3 years and look back at 2022. And see, if the things that we're buying today were the right things to buy. We only have the vision of hindsight to figure out if that's the case. We think we're doing the right things, and we'll look back in 3 years and hopefully, we have.
 So with that, good luck the rest of the year, we'll be with you back in February to -- or early March to review Q4. If you need to find us, we're around vis-a-vis e-mail and/or text, if you want any follow-ups. So thank you very much for your time today and have a great day. 
Daniel Wolfe: Thank you very much, and you can now disconnect.